Operator: Good day and welcome everyone to the Alexandria Real Estate Equities Incorporated second quarter 2010 results conference call. At this time, for opening remarks and introductions, I would like to turn the call over to Rhonda Chiger.
Rhonda Chiger: Thank you everyone. This conference call contains forward-looking statements within the meaning of Section 27-A of the Securities Act of 1933 as amended and Section 21-E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include without limitation statements regarding our 2010 earnings per share diluted attributable to ARE's common stockholders, 2010 FFO per share diluted attributable to ARE's common stockholders, the business plans of certain tenants and the expected impact of the retirement or conversion of our unsecured convertible notes. Our actual results may differ materially from those projected in such forward-looking statements. Factors that might cause such a difference include, without limitation, our failure to obtain capital, debt construction financing and/or equity or refinance debt maturities, increased interest rates and operating costs, adverse economic or real estate developments in our markets, our failure to successfully complete and lease our existing space held for redevelopment and new properties acquired for that purpose and any properties undergoing development, our failure to successfully operate or lease acquired properties, decreased rental rates or increased vacancy rates or failure to renew or replace expiring leases, defaults on or non-renewal of leases by tenants, general and local economic conditions and other risks and uncertainties detailed in our filings with the Securities and Exchange Commission. Now, I would like to turn the call over to Mr. Joel Marcus.
Joel Marcus: Thank you, Rhonda. Welcome to the second quarter 2010 conference call. Let me start off with some macro comments quickly. Those of you who read Alan Abelson's column each Saturday in Barron's will remember about a week or two ago, he indicated that despite the periodic winning street, we're still in the grip of the secular bear market that has years to run. So in light of this cautious business climate, it's nice to know that contrary to significant negative budgetary spending at the fed and the state level, this is not translated into a measurable dip in R&D investment by the broad and diverse life science sector. Despite the deep recession, pharma and bio have spent last year's $65.3 billion in R&D compared to $1.5 billion from 2008. Our number two client tenant, Roche, ranked number one with over $9 billion of R&D spending. Our number 10 client tenant, Pfizer, was number two at $7.85 billion. Our number one tenant, Novartis, was number three with $7.47 billion. So we're very pleased about that. We also have not had a space go vacant due to pharma M&A, and we're very thankful for that, given our adjacency locations. Among a number of critical challenges coming up is the growing clinical trial complexity, challenging drug development and obviously the need to contain rising cost. And we think there is a big opportunity where ARE will focus its platform on this significant emerging area. Another interesting opportunity that has come to us relates to something called the Cures Acceleration Network. It's a newly formed translational research program at the NIH, designed to bridge discovery from the lab to clinical testing. $500 million have been set aside for approximately 20 drug development programs and another 20 projects using compound that companies have abandoned, and we expect to benefit directly from that program. In looking at ARE with the best adjacency locations to the critical innovation centers, the best-in-class assets and the best-in-class asset services, we've attracted big pharma to our asset base at an ever growing pace and as they pare back their silo research locations on big, remote and isolated campuses. The July 6 Financial Times focused on the key issue of critical success factors for clusters. And I'd recommend that for your reading. In the toughest quarter in the financial history of the country back in first quarter of '09, many of you'll recall, we announced signing leases that are first-in-class 200 Tech Square project adjacent to the MIT campus with Glaxo, Pfizer and Novartis. So in addition to recently attracting biotech oncology jewel, Onyx Pharmaceuticals, to South San Francisco, a number of you may have seen from the East Bay, which is continuing to be depleted of its life science presence, we helped also bring Bayer AG Pharma's U.S. Innovation Center to the Mission Bay, also from the East bay. And there's an interesting quote recently that was reported in the San Francisco papers by Terry Hermiston who is the site head, and he said, "The driving force for locating our U.S. Innovation Center in Mission Bay is the proximity to scientists from academia and young biotechs and the opportunity this holds to jointly turn great ideas into the next-generation treatments for our patients. It is important to acknowledge the importance of partnerships and collaborations in the new economy in this location." So it's a great credit to our management team and superior regional teams. Our quarter-to-quarter strategy is to do everything humanly possible to aggressively defend against an erosion of fundamentals and a prudent offense to glory in a sensible, reasonable and quality manner which will uniquely distinguish ARE and set us apart from all others. And we view the differentiating guiding principles through this difficult time is first of all to act for a long-term benefit; two, to do careful underwriting; three, to demonstrate patience and persistent good judgment; four, to emphasize return on invested capital; five, to attract and retain high-quality client tenants and employees; and next, to keep focused on positive internal growth, which is critical. So being the landlord of choice to the life science industry at this point is an ideal place to be. Moving on to the operating and financial results for the second quarter, and Dean will give you a lot more detail, we reported $1.10 FFO per diluted share, excluding the 8% percent convertible tender transaction. On the balance sheet, the company is continuing its focus on deliberate debt pay-off and pay-down. And we expect this to continue quarter-to-quarter into 2011, and we'll partially be funded with sales of selected non-income producing assets. Dean will give you probably more than you want to know about the successful tender, the 8% convertible notes. Early work, and Dean will also address the early work that's being done at the moment on the renewal of the $1.15 billion line of credit. It's going well, terms, conditions, duration and capacity, we are all very pleased with. We are also looking intensively at some selected joint venture relationships. We need to deploy additional capital to our multifaceted growth program and platform. And the Board will look carefully in only 2011 at a potential dividend increase. Moving on to internal growth and related metrics, we had a solid second quarter on same property results, and we're very gratified. Again, in a very tough macro environment, we've continued our unbroken streak of positive same property results, which is likely a record for almost any REIT out there. GAAP was up about 1% and cash about 2.5%. On the occupancy side, we're stable at about 94% with a historical average of about 95.2%. In San Diego, we lost 50 basis points, but we expect to turn around over the coming quarters as we are heavily focused on substantially strengthening our number one position as the dominant life science landlord in San Diego and look forward to reporting significant future successes to you in the coming quarters there. The Bay Area picked up about 80 basis points attributable again to strong leasing and the solidification of the submarkets economically on the West side of the San Francisco Bay Area. In Eastern Massachusetts, we lost about 50 basis points primarily due to a number of lease rolls, but we have about 1% vacancy in our Cambridge Life Science niche, far better than the current 8% to 10% for other existing owners. But we expect to see a positive pick-up in the coming quarters, and we'll report that to you. Sanofi-Aventis announced it will be opening a 300-person oncology research unit in Cambridge, while Merck and they were closing a duplicated Schering-Plough lap. And so there is a bit of set off there. No impact to us with either of these situations. In the Southeast, we had a positive 60 basis point pickup in a market which continues to exhibit overall weakness. In the Suburban D.C. market, we've had a positive 40 basis point pickup in the market, which has exhibited pretty much an equilibrium at this point, and we're waiting to see how the second half NIH stimulus funding plays out. Seattle, we had a bit of a dip. It's been historically a very strong market, but that was due primarily to Gilead moving out of smaller space into our build-to-suit. And we expect Seattle to continue to be strong for us. On the leasing side, once again we had a very satisfying quarter with strong leasing. GAAP was up about 5%, and we're about breakeven on cash performance. We leased over 550,000 square feet, 135,000 from redevelopment phase with an average five years in minimal TIs and leasing costs. For the remaining rolls coming up in 2010, we've got about 588,000 square feet compared to about 685,000 in the first quarter, and this looks to be very manageable. As we've reported, we've got about 29% leased, 5% negotiating and anticipating, 22% in the redevelopment, really just two buildings, a shell building in San Diego and an industrial building in Seattle that we'll redevelop; and 44% being marketed at this point. But we feel very comfortable with where we are on the year-to-date, and we expect there is 5% uptick in GAAP rents. On 2011 lease rolls, we've got about 1.46 million, down from about 1.7 million in the first quarter. In the second quarter, as I think we noted in the press release, we have good leasing on 2011 rolls at the moment on the remainder about 6% leased, about 35% negotiating and anticipating, 30% in redevelopment, which is made up primarily of three markets, a small set of buildings in the San Francisco Bay Area which will be redeveloped, primarily 400 Tech Square, which is an office building that will come back to us next year. And we're looking forward to converting that much like the great success we had on 200 Tech Square. And then we've got two buildings, one big office building coming back to us in Seattle, and we'll be redeveloping that. And then finally 29% being marketed for 2011. So we feel good about where we are. And we're expecting somewhere in the range of 5% uptick on GAAP rents rolling in 2011, at least at this point. On redevelopments, we noted about 238,000 square feet delivered, 56% leased. Probably the big success is an office building we bought as part of our East Cambridge assemblage. We believed when we originally bought it, it was a low-rise office that we probably couldn't embed last space. And it turned out we were wrong, and we've successfully been able to convert some of the space. Our lab conversion cost on the converted space ran about $8.8 million. And the lab NOI that's generated on leases that have been signed and placed in service is about $1.2 million. So about 14% return on invested capital. On the client tenant, page 31 of supplement continues to say extremely strong, well-diversified, not overly concentrated, led by Novartis, Roche and Glaxo, probably the top three you would ever want. And then just a highlight; the front page of the New York Times business section on July 26 featured one of our premier San Diego Clean Tech companies, Sapphire Energy, and the success there saying backed by top two ventures, Syndicate and Bill Gates personally. On the external growth side on development, two tenants work on progress. We signed, as you know, a 49,000 square foot lease with Bayer AG, moving them to Mission Bay North. And finally, we are able to secure an overall tenant for 100% of the space, Onyx Pharmaceuticals, a real premier oncology company at 249 East Grand. We leased 58,000 square feet of the remaining phase. And now we have to turn our continuing attention to the 162,000 square feet in South San Francisco and East Jamie Court where we have had no tangible progress over the last quarter unfortunately. When it comes to East River, we have a signed LOI, and we are working on lease on a sophisticated build-out with a three-floor 75,000 square foot second anchor translational research. And the two remaining lab floors, about 50,000 square feet in total, we've signed one big cap European firm for about 3,200 feet. We have a lease out for signature on almost 14,000 square feet to a tenant focused on genetics and genomics and small molecule drug development. And the remaining, we've got about 9,000 square foot working on an LOI, about 12,000 square foot on an LOI for some drug development phase and a startup in 3,000. So hopefully as we get through the next quarter, we'll be able to report our progress on stabilization there. On land, we have put on the market our Mission Bay South parcels for hospital-related office and medical office. We've had extremely strong interest either through a sale, ground lease or joint venture. We also think we can deliver an existing 180,000 square foot requirement for a credit tenant. We are also in the early stages of possible large credit tenant build-to-suit at Mission Bay and looking at that. On our East Bay, 1.7 million square foot assemblage, we've received final approval, and that's a great achievement. We have ongoing discussions with prospects for build-to-suit. On the acquisition side, let me just briefly mention we closed on a really nice and accretive off-market 68,000 square foot life science property in San Diego post-second quarter for about $23 million where the anchor tenant for about 52,000 feet has a long-term lease through 2022. That building is about 90% stabilized, and we were able to achieve approximately 8% cash yield on that transaction. Based on other recent life science transactions in San Diego where a vacant building recently sold for over $300 a foot and an adjacent land approximately $80 a foot, I think we made a very prudent purchase. And then finally, before I turn it over to Dean, the university and institutional on-campus, both redevelopment and development program continues pretty intensively. We hope to report a success there on several fronts over the coming quarters and the next year. But it's something we are very focused on. And I appreciate your patience on that. So Dean, take it over.
Dean Shigenaga: Thanks, Joel. Let me jump right into our solid operating results, balance sheet matters, including the successful tender offer we completed, sources and uses of capital and lastly our 2010 guidance. Our strategy and business model continues to deliver stable and consistent operating results. Our solid operating results are attributable to our ongoing diligent focus on strategic adjacency locations to key research institutions and key life science cluster markets, ownership of the highest-quality laboratory properties in location, quality, design and efficiency of laboratory facilities, continuous development of the most talented and highly experienced real estate and laboratory facility personnel located in each of the important life science across their submarkets, a very unique life science underwriting team and our favorable restructure. As a reminder, 97% of our leases provide for the recovery of substantially all of operating expenses, consisting of 89% triple net leases, with an additional 8% of our leases providing for the recovery of the majority of operating expenses. 94% of our leases provide for annual rent escalations generally in the 3% to 3.5% range. And approximately 92% of our leases provide for the recovery of major capital expenditures. Our average occupancy percentage for December 31 of each year from 1998 through 2009 and including June 30, 2010, was over 95%. We are through the first half of 2010 and on our way to our 12th year of positive increases in rental rates on new and renewal leases for previously leased space and our 48th consecutive quarter of positive same property results, again up 2.5% on a cash basis for the quarter. Let me briefly mention that our annualized leasing activity for 2010 approximates 2.1 million square feet, representing a run rate of over 1 million square feet for the last two quarters of 2010. Compare this run rate of over 1 million square feet for the second half of this year to the 2010 remaining expiring leases reported on page 26 of our supplemental package of 261,000 square feet, and we are in a really good position to favorably resolve these rollovers over the next two quarters. The 2010 remaining expiring leases of 261,000 square feet is up slightly from the 228,000 square feet reported in the last quarter in this particular category due to a few short-term leases we executed in the second quarter, including a tenant moving from a month-to-month lease to a nine-month lease. We expect a good portion of these leases will extend again on a short-term to medium-term basis. Moving on, operating margins remain solid at approximately 74%. G&A as a percent of total revenues was approximately 7% and as expected has trended down on an absolute dollar basis since the first quarter. We are still projecting total G&A expenses for 2010 to decline in comparison to 2009. Moving next to our value-added projects, we continue to advance important preconstruction activities on several strategic land parcels, including those at Mission Bay, San Francisco, and the Binney Street project in East Cambridge. Ultimately, these assets will be developed in at least high-quality life science entities and will generate significant revenue and cash flows. During the quarter, we announced the final zoning approval for our transformative life science development in East Cambridge. This project will consist of 1.7 million square feet of state-of-the-art laboratory facilities. We also advanced preconstruction activities to an appropriate stage related to the parcel supporting the future ground-up development of approximately 300,000 square feet in San Diego and seize capitalization of preconstruction cost, including interest, taxes and insurance. By the end of 2010, we anticipate approximately 80% of our 865,000 square feet under development being leased, with a portion of this committed to delivery of these projects will generate significant revenue in cash flows and will result in a corresponding decline of required capitalization of interest. Additionally, our land parcels will provide significant opportunities for monetization, important capital to repay outstanding debt and the reinvestment of capital into our business. We have several ongoing negotiations for the sale of land parcels ranging in size from approximately $5 million to greater than $100 million, all anticipated to be sold at a gain with some at very significant gains. In addition to raising a significant amount of capital, the planned sales are expected to provide important valuation data points well above our book basis for our strategically well-located land holdings. Capitalization of interest for the second quarter declined about $1.2 million to approximately $18.3 million, and capitalization is expected to continue to decline meaningfully over the next two quarter primarily as a result of delivery of significant spaces from our redevelopment and development programs. Moving next to our balance sheet, consistent with my comments last quarter, the lending environment continues to show considerable strength. Secured debt lenders continue to bid aggressively for high-quality assets with high-quality sponsorship. Interest rates continue to drop down to the low-to-mid 5% range. Banks and insurance companies are aggressively chasing quality real estate on transactions and focused on quality publicly-traded REIT sponsors. Later in the fourth quarter, we will begin our formal discussions and negotiations with our lenders for the amendment of our revolving line of credit. The financing environment for credit facilities continues to show improvement each quarter. Banks continue to step up for new relationships, providing commitments of up to $200 million. Existing relationship lenders continue to increase their commitments and obviously certain banks are not renewing their commitments. Based on our ongoing discussions with our important lending relationships, we have a high level of confidence that we will successfully amend our line of credit later this year and are optimistic that we will have the opportunity to renew our revolving line of credit close to or at its current size of $1.15 billion. Our tenant receivable balance as of quarter-end was approximately $3.1 million and continues to represent a low balance as compared to our receivable balances over the last several years. Our supplemental package contains recently extended disclosures of the strength and diversification of our tenant base. And we are confident that our top 20 tenants represent a stellar top tenant list, especially when compared to other highly-regarded, publically-related REITs. During the quarter, we successfully completed the retirement of all of our 8% notes, except for $250,000 of the notes that remain outstanding today. As a reminder, since the issuance of our 8% notes, we have applied the if-converted method of accounting. And in all quarters through the first quarter 2010, we have included the underlying 5.8 million shares and our weighted average diluted shares outstanding for FFO purposes. The tender offer included the issuance of common shares in an amount equal to the shares that their noteholders would have received if they exercised their conversion right. As a result, the shares issued in the tender offer did not increase our protected weighted average shares outstanding for the 12 months ended December 31, 2010. However, for FFO per share purposes, for the three and six months ended June 30th, due to the $41.5 million loss on the early extinguishment of debt, the if-converted method of accounting was anti-dilutive, and therefore the weighted average shares outstanding for the three and six months ended June 30, excluded the if-converted shares, and FFO included the interest expense associated with the 8% notes. We expect the weighted average shares outstanding for the year ended December 31 to include approximately 5.6 million shares related to our 8% notes and related tender offer. In July, we've retired an additional seven million of the bonds and will recognize an additional loss on early extinguishment of debt of approximately $1.3 million or roughly $0.03 for FFO per share diluted. Moving on to sources and uses, our balance sheet provides us significant flexibility, including the ability to monetize certain income and non income producing assets. Our balance sheet capacity along with conservative and reasonable assumptions for sources of capital highlights the flexibility we have to address our uses of capital through 2014. Sources include $454 million of availability under our credit facility, $111 million of cash on hand, $80 million of annual free cash flows, an increase in the north of $100 million in the next couple of years, $75 million to $100 million of new loans or re-financings in 2011 and each year thereafter, a $100 million plus year of asset sales. And again, we remain optimistic that we will be well ahead of our projected land sales during the coming quarters. It's important to keep in mind that this list of sources of capital is not exhaustive, and that other sources of capital may be utilized to successfully execute our capital plan in addition to making adjustments to our capital plan from time to time as appropriate. In summary, this list of sources highlights the flexibility we have in meeting uses of capital through 2014. Turning to uses, our estimate for construction spending for the remainder of 2010 is approximately $160 million, which includes our estimate to complete at about $70 per sq. foot and about $139 per sq. foot for our redevelopment and development projects respectively, plus a few other projects. We also assume the repayment of secured debt maturities over the next few years net of approximately $284 million of re-financings related to our two largest secure debt maturities. We also assume the successful renewal of our revolving line of credit which we discussed in the repayment of our 3-7 convertible notes. So again through 2014, our uses of capital are meaningfully less than our sources of capital that I just highlighted. Turning to credit metrics, net debt to gross assets was 42.8%; net debt to adjusted EBITDA was approximately eight times, and we anticipate this improving in the coming quarters and years. Unencumbered NOI represents a large portion of our operating assets at about 56% of total NOI. Book value of unencumbered assets as a percentage of gross assets was 72%. I just want to point out that the weighted average interest rate as of June 30, one balance sheet date and time, our outstanding debt was about 4.52%. Again, this is a specific point of time. Additionally, this rate is different from our weighted average interest rate for capitalization of interest which is based on average interest cost during the three-month period in the quarter, and again not a specific date and time. Facility covenants, as a remainder, are very specific to each company and dependent on terms and definitions in each facility agreement. Covenant calculations and compliance will vary company by company. We believe that our credit metrics related to our facility covenants are solid for our business. Leverage as of quarter end was in the 42% to 43% range, and our limit is 65%. Our secured debt percentage remains below 15%, our limit is 55%. And fixed charges remain solid at approximately two times and the limit is 1.4 times. Our capital plan over the next several years is manageable under conservative and reasonable assumptions. Over the next several years our goal will be to keep debt and balance sheet metrics with capital from debt and equity broadly defined. And to be clear, equity capital includes reinvestment of free cash flows, collective sales with income and non income producing assets, opportunistic JV capital and common equity. JV capital will include key opportunities to work closely with institutional users with strong capital positions and other partners on the development of our strategic land parcels. We also expect improved credit metrics over the coming quarters and into the next few years. Three important items to highlight that will in aggregate have a meaningful impact on debt to EBITDA. First, we completed the tender offer for 8% notes, effectively transitioning the shares into our outstanding common shares, ultimately reflecting on the notes in a manner consistent with the equity treatment under the if-converted method of accounting. Second, a repayment of our outstanding debt, assuming the successful completion of the sale of several land parcels. The proceeds from these sales will eventually be used to fund construction spending over time. And third, we expect to have significant NOI and EBITDA contribution from various redevelopment and development projects over the coming two to three quarters. These three items are forecasted to be completed over the next few quarters and represent reasonable assumptions in the near term that will have a positive impact on net debt to EBITDA. Lastly, on guidance for 2010, FFO per share was $3.57 as a remainder on a normalized basis excluding the losses for the early extinguishment of debt. We reconfirmed our guidance at $4.43. We updated our guidance twice as noted on page 11 of our supplemental package. And again, the guidance updates were only updated for the losses that we had recognized and will recognize in the third quarter. Our guidance for earnings per share was $1.3. And again, our guidance is based on various underlying assumptions that reflect our outlook for 2010, including the following assumptions: Occupancy is forecasted to be flat to slightly up by year end and property results are projected to be modest on both a GAAP and cash basis with a stronger same-property performance forecasted for 2011. Straight line rents are forecasted to increase over the next two quarters as we deliver long term leases from our development projects. Margins are projected to be in the 73% to 74% range. G&A expenses are projected to be in the low $30 million range. And again, by the end of this year we anticipate 80% of the 865,000 square feet undergoing development to be leased, some space committed with these projects generating significant revenue, FFO and cash flows. Capitalization of interest is expected to be in the mid $60 million range, will be lower than 2009 and will reflect a delivery of significant square footage from our re-development and development programs. Our projection for capped interest also assumes a decline quarter to quarter over the next two quarters. And again, lastly, our guidance assumes collective of non-income and income producing assets over the next few years. So with that I'll turn it back to Joel.
Joel Marcus: Operator, if we could open it up for Q&A please?
Operator: (Operator Instructions) Our first question comes from Anthony Paolone from JPMorgan.
Anthony Paolone - JPMorgan: My first question is for Joel. Your tenant roster is very strong from a credit point of view, and you guys seem to have come up as winners in a lot of the M&A in your space. But can you just help tie together for us just how the future looks, if you continue to see a lot of M&A with your tenants, just in terms of, can we expect as much just total demand for lab space over the next five years compared to say, the last five to ten years?
Joel Marcus: Thanks Tony, I think it's an important and relevant question, one we've been looking hard at. I think you are going to see far less M&A at the top level, the top 15 big pharmas, all of which actually are clients of ours. And you are going to see more of what you see today I think, at least rumor and some announcements out that Sanofi is looking potentially to bear hug or buy Genzyme. So I think you are going to see a transformation of big pharma, who have great balance sheets, lots of capital and they are re-building significantly their pipelines. They will be, I think actually over time looking to expand in the critical adjacency locations. And that will also be, not only at the research level but on the product sales level, looking at buying companies intact, keeping them operating for sales from significant products. So I think you are going to see a melding of some of the big biotechs and some of the big pharmas. But I would expect to see a continual increase. I can't predict the rate at what that increase will be. We just heard, for example that Roche, after they have essentially integrated the Genentech operation are now looking at their future expansion plans. There is always a period of time; sometimes its a few months, sometimes it's longer after acquisition to look at how they rationalize themselves. I think where you are going to see significant cutbacks, a lot of sales of remote manufacturing facilities, a lot of ending of leases of sales and marketing offices to firm those down. There'll be some, obviously research changes and cutbacks. There will be significant ones on main campuses, but we don't see any trend toward these companies cutting back major research in the core areas, and if you stay close to the major institutions, I think will continue to see a positive trend. How much to measure that, but I don't think we can predict at this point. But it's pretty clear, these companies are becoming bigger, they're being more fully integrated, they're broadening their platforms. Each of these companies will look like, instead of pure drug companies they'll look like integrated healthcare, service and product companies over time. And I think given the expansion of coverage, which is pretty dramatic under the new healthcare bill and the fact that there won't be a governmentally run system, I think certainly augers well for the future. I said all along, and I think most people say all along, the only way truly to contain healthcare cost will be from cost-effective diagnostic and predictive products and ones that ultimately can treat and maybe some day cure these diseases. There are a number of treatments in process of clinical trials now. There is one first cancer stem cell product ever in clinical trial that has shown in phase I and early phase II efficacy studies an amazing impact on a broad range, more than 12 different cancers with no side effects. And what that could auger over time is an elimination or a diminution of reliance on radiation and chemotherapy. So a long-winded answer, but hopefully that's helpful.
Anthony Paolone - JPMorgan: I just have a few smaller ones after that. In the redevelopment pipeline you have a couple of projects in Eastern Mass coming in later this year where there doesn't appear to be any activity at this point. Can you just give us a sense as to what's going on there?
Joel Marcus: There are three assets in total. The first one is 33,000 square feet, where we're negotiating on that space today. So we're in pretty good shape there. There are two other projects, a 113,000 square foot facility that continues through the redevelopment process, but we're still at the marketing stage, from the disclosures obviously, and working through very early, early opportunities, but nothing beyond that that gives us confidence to show it as negotiating or committed at the moment. Lastly, there is a 30,000 square foot building, multi-tenant arrangement, which I think will be successful, resolving in the near term as well, just given its location and size requirements that I think will nicely fit the market requirements in the coming quarters.
Dean Shigenaga: Yes, and I think the other thing to keep in mind Tony, especially on the 113,000, this is somewhat of more suburban oriented, it's a cheaper facility, it has an ability to accommodate kind of a broad range of users. And so we're expanding our search for users there beyond just pure R&D life science. So we hope hopefully to have some takers on that.
Anthony Paolone - JPMorgan: And last question, you felt like year-to-date you've done 681,000 square feet of new and renewal leasing at $4.83 a square foot of TIs and leasing commissions. What is the range of CapEx that you spend when you do this type of level of leasing? Are there a lot of ones where you don't spend any money and a bunch that you spend $20, or is it all pretty tight in that range?
Joel Marcus: Actually, I'd say there is a few that we don't spend much money on at all. On a few that we have some CapEx, it's fairly nominal, it's not much above that. The only way you can average that consistently is, you don't have any major CapEx going into re-tenanting on your leasing. And you can see on page 42, we have a historical chart that highlights over a five-year average for CapEx, for TIs and leasing costs both on a re-tenanted basis and on a renewal basis, both of which average anywhere from $3 to $5, depending on what category you're looking at.
Dean Shigenaga: I was with somebody, I think it was last week in one of the markets, and they actually commented to me, which was pretty interesting, a publicly traded REIT that their space, when it rolls, they pretty much have to demo everything and redo it almost every time. It's not our product type, it's a different type. But they were kind of marveling because they had one lab asset in their portfolio, and they were marveling that they wanted some advice on re-leasing it to a particular tenant. And they were amazed that they could utilize virtually all of the infrastructure for re-leasing. It's not their focus, but we're looking at it as a possible acquisition obviously; but kind of interesting.
Operator: Our next question comes from Suzanne Kim from Credit Suisse.
Suzanne Kim - Credit Suisse: I was wondering about monetizing assets as a way to replenish the pipeline for these big pharma companies. Are you seeing a trend in that as they are trying to replenish their pipeline?
Joel Marcus: Yes, I mean I think that is the game plan. And they're doing it by, I think there's really three major ways, there's probably many more, but the three major ways, one is refocusing their R&D out of kind of these silo campuses in locations that are pretty remote and not interactive. And each of them, each of the top 15, all of which are our clients have made consorted efforts to do that. Novartis is maybe the best example, got out of Basel, Switzerland for their R&D headquarters and moved into Cambridge a couple of years ago. And quite a number have done something very similar either in lots or in pieces, because they know that being at the touch point of innovation is critical. If you go back to the quote I had in the earlier part of my formal presentation by the Bayer site head, it was exactly that thing. Bayer right now owns a big campus in Richmond on the East Bay which is north side of the East Bay, they own it. It's at some cost, but they decided they can't interact from that standpoint because it's very remote and it's just not an interactive location; that's what brought them to Mission Bay. So that's number one for replenishment. Number two is acquisitions by buying diversified businesses. Again Novartis, this year or last year, maybe I can't remember, bought Alcon Eyecare for about $40 billion. They believe that the ophthalmic business, which I think is true given the ageing and the population, is going to be a huge home run. And that was a big diversification, so that's going to drive revenues and pipeline of products. And then the third is more a classic M&A buying either a smaller pharma or a biotech or somebody else in a product or service area that can help, again, continue to bolster revenues. Those are the three major ways they are doing it.
Suzanne Kim - Credit Suisse: Are you seeing a trend where you're seeing much more of this occurring, though, in the past year or two, or is it just a steady pace?
Joel Marcus: Well, I think it depends. Obviously, over the past year or two Pfizer did buy Wyeth, which was pretty huge, but obviously with the debacle in the credit and financial markets I think you saw a lot less of that. So that was not so available obviously, either using cash or stock as currency. I don't think it's going at be at any torrid pace, but I think you'll see it selectively and strategically from time to time. And some companies, that's not their way of going forward, but some are pretty important. I mean Pfizer bought Wyeth essentially to buy a biological business because they didn't have one, and they had a pretty big patent cliff coming up. So for them it was a pretty smart acquisition.
Suzanne Kim - Credit Suisse: I was actually wondering in terms of the number of product coming online available for acquisition opportunities.
Joel Marcus: Yes, the FDA approves about 25 to 30 products a year. So depending upon who's got those products in the pipeline, certainly pharma could look at those as a natural opportunity for acquisitions. But remember, it's not all about acquisitions. Over the past two years, I think I commented, partnering transactions doubled from about $20 billion to almost $40 billion from '08 to '09, but big pharmas are very aggressive these days, both at the venture level and at partnering their products with biotech companies. So that's actually almost a preferred way more than M&A.
Suzanne Kim - Credit Suisse: Just a quick question on operations. Maybe I did my math wrong, but it seems that you need to do a little bit more than what you've done in the first quarter and the second quarter in terms of FFO. It was 109 at the first quarter, 110. It seems in order to meet the midpoint of $3.57, you needed $1.13. I'm wondering if the catalyst is the redevelopments of going online or what's sort of driving your outlook in the next few quarters.
Dean Shigenaga: Nothing has changed in our outlook. Our guidance has held strong in the sense that we think we can convey and that FFO would grow through the year. And on the back half of this year, we have a number of projects both on the redevelopment and development side coming online. You can tell by our in-service days. And our leasing status, we're in pretty good shape. As an example, even just the New York project, we have FFO contributions starting in the third quarter, with Lilly lease coming online. And the remainder of that space being although leased, near the end of the year, not a significant amount of FFO contribution this year just on that one particular project, but I think you'll get almost a full quarter's worth coming on in Q1 of '11 for that one project in New York. And you have same-store performance being positive this year, leasing activity being positive, which is also contributing to results as well.
Operator: We will take the next question from (Jamie Sullivan) from Bank of America/Merrill Lynch.
Unidentified Analyst: I was hoping you could help us frame the magnitude and timing of some of these external developments, I guess first the campus program, and then just as we think about the 38% in process at East River, kind of handicapping the likelihood of some of those.
Joel Marcus: Sure, Jamie. I think when it comes to the university and institutional on-campus or immediately off-campus redevelopment and development, that's not only development, but it's looking at buildings that exist for potential redevelopment. Those are somewhat of a long-term type of program, because they involve some pretty sophisticated financing issues on campus that may be under non-profit or tax-exempt bond indenture. They also involve if you have state universities with fairly complex approval processes and just the whole negotiation cycle and so forth. So we think it's a very important program. We think it's a long-term multiyear program. I was just at one of lead campus that is looking at doing some pretty major things, again given the way the market has reacted. But these things take a lot of time in their relationship building and they're focused on particular sites of buildings that exist. So I would say don't look at those as short term, but those are really long opportunities. But we think they are important, because they represent great opportunities for high-quality tenants and very long-term leases. When you move to East river, I think I have a fairly comfortable view of always timing is always a little hard. I remember when we were negotiating with Eli Lilly, I think that negotiation took something like four to six months, but it was very friendly. But it's a very complex set of negotiations left even I mean that lease is a complex document, work letter and so forth. But the programming and the test bit for the state and the sophistication of the state takes an enormous amount of time which you don't really have in say more generic office or industrial. But I think as I said I believe there is never any assurance until it's done. But I believe we have a very high probability of success at stabilizing East River by year end. And I think each of the in process transaction that I alluded to, I think I have a reasonably good chance of happening.
Unidentified Analyst: So a follow-up on the campus or university program, it sounds like it will be more fee related.
Joel Marcus: I would say probably not so much that. You have to remember, some of these are ground leases some may be fee development, some may be off-campus joint venture arrangement. They are pretty sophisticated kind of things. I think fee development could emerge, that certainly would be of interest to us, asset management would be as well. So I see a number of different revenue sources coming from these relationships and once you have a broad relationship with an entity, you can imagine what the size of some of these campuses. It's pretty valuable. But we will obviously need to bring our test tube and our model forward and say, "Hey here's a real one. This has happened, and this is how it's planned, played out." And we hope to do that in the future for sure. Because we do think it's a big future opportunity for the company.
Unidentified Analyst: And then back to the M&A topic, in terms of, when you think about Genzyme's real estate footprint, what do you see playing out there, to the extent there is a transaction?
Joel Marcus: Yes. I think if Sanofi or somebody else was to buy them, I don't see that they are going to change a whole lot of things, I mean I think they may consider melding. I actually know Chris Viehbacher reasonably well. I've they have considered moving worldwide research from France to Cambridge. That hasn't happened yet, but if for some reason this happens, that might be an instigation point to try to that. And then they would look at combining their research with Genzyme's. It isn't really duplicative or overlapping. And the administrative side isn't particularly huge. Buying it actually would be a good fit, and I think if that happened it may be a growth point for more Sanofi in this country.
Operator: The next comes from Michael Bilerman from Citi.
Quentin Velleley - Citi: Hi, it's Quentin Velleley here. I'm with Mark Owen and Mark Montandon. Just in relation to some of the land sales, it's good to see you're making some progress on that. I'm just wondering if you could give us some understanding of what the scale of the sales might be, and what the timing is likely to be, as well.
Joel Marcus: When you say style, meaning the nature of the transaction or the scale?
Quentin Velleley - Citi: No, size.
Joel Marcus: I am not sure I want to characterize it other than what dean said we see some transactions that could be for a couple of million dollars and we've got several that are their way through processes to something that could be north of $100 million dollars. I don't think we want to be more specific than that given; certain things are actually in the market today. But I think it's significant and important and the nature of the transaction probably most will be pure ramp sales, but we've opened up the possibility of contributions. But I think by and large you'll see more out right sales. Beyond that I am not sure we can characterize things. If you ask about timing, timing is always difficult to say, but I would think that we would have one significant transaction hopefully accomplished by year end, and that would be important as Dean said, both from the standpoint of significant capital and also very importantly from the standpoint of establishing really a data point, an important data point for valuation of real estate because had the market not really crashed and we had not gone through these past two years, we wouldn't have this situation. But I think today, a lot of people are really undecided about where land values really ought to be, given the overall market and the macro economy. But I think you will see as Dean said, and hopefully you will see some very positive data points there.
Quentin Velleley - Citi: And if it's going to happen towards the end of the year, there's obviously no benefit you're getting into guidance from selling non-increasing assets and de-leveraging in that respect?
Dean Shigenaga: Yes, from a guidance perspective nothing significant, Michael.
Quentin Velleley - Citi: Looking at the lease roll schedule, page 30 of the supp, it looks like your remaining expiring leases for 2010 actually went up by over 30,000 square feet, and the amount of leased space that you have actually went down sequentially by 75,000 square feet. And the month-to-month doesn't look like it changed that much at all. So what happened? Did the leases that you thought you had signed fall out of bed?
Dean Shigenaga: No. That's actually not possible to occur because, once they are signed, you can't get out of them. But what happens, the lease column; this is page 30 of the supplemental, for those that don't have it in front of them quite yet, the lease column for 2010 and 2011, which breaks down the categories of the rolls. The lease column represents a lease that was executed post the reporting period, so in this case post June 30. Or, it could also be a combination of leases that are rolling later in the year that have been executed with a new tenant taking the space. So, as that lease is then delivered and it's no longer expiring, in other words, that portion that you commented on in the lease category, Michael, was delivered in the quarter, in the second quarter. So it changes as that activity is actually delivered.
Quentin Velleley - Citi: Then, how does the remaining expiring leases go up from 228,000 square feet to 261,000, square feet?
Dean Shigenaga: Yes, you might have missed my comment, or in the early part of my commentary. But really it represents new leases that were executed in the quarter, short-term in nature. One example I gave was a month-to-month tenant, which has actually been in the portfolio for quite some time, but they have been on a month-to-month lease for a number of quarters, executed a nine month lease. It's still short-term in nature, so it ended up being an expiring lease that went from a month-to-month on an expected renewal to an expiring lease in the 261,000 square feet. So it's a combination of several short-term leases that were executed, and I mentioned earlier in my comments that we expect most of those to renew again on a short-term to medium-term basis.
Quentin Velleley - Citi: So even though your month-to-month stayed flat, it actually went down by 2000 square feet?
Dean Shigenaga: Correct.
Quentin Velleley - Citi: You are saying there's some things that would have caused a bigger differential?
Dean Shigenaga: Correct, some month-to-months moved out, and some new ones came in.
Quentin Velleley - Citi: Just last thing, on joint ventures, Joel. It's been probably three or four years we've heard about joint ventures and activity in discussions and plans. And nothing has occurred. So this time, when you're talking about joint ventures, are we closer to fruition, to that happening in terms of raising capital? Or, how should we take those comments?
Joel Marcus: Well I think if you hearken back to kind of '06, '07 timeframe we had actually two and I think we reported back quite a number. I don't know may be two years before that financial debacle, we had two term sheets for the East River science project. We liked them both, but one of which we really liked is, we really like the parties and we were going forward with that we have negotiated the terms and conditions. And the big issue there was construction financing, and so we were headed into that phase of it. This was September of '08. Obviously then Lehman declared bankruptcy and all hell broke loose. So the fact that that joint venture fall apart, I guess we declare Force Majeure or something like that. That's done and then as it turns out we were successful with Lilly lease and there is no reason for construction financing any more. We are ready to deliver the building here over the coming quarters etcetera. But rather than a joint venture like that which was really a third party money joint venture, we've had some pretty detailed discussions I think on two types. One would be on operating or value add projects where a money source would team with us to do a series of projects. And I think, I can't give you time and frame and so whether it will happen or not. But that's something we're pretty actively involved with. And then the second one would be a venture that would be with a user that I've mentioned before. We would put up potentially a land parcel and the user who had capital and a very low cost of capital; we'll put up capital to build the building. We would do that and essentially have kind of a JV if you will, build to suit. Don't know how those will emerge over time, that's a kind of characterizations of discussions that we have to help move our future efforts ahead. So I'd say stay tuned but there is no guarantees there. But they certainly could emerge.
Quentin Velleley - Citi: Just a quick guidance question as well. With the development deliveries that are coming in over the next couple quarters, wondering if you are including any accretion to the bottom line in your guidance from those, or if it's just sort of a net neutral phenomenon for this year.
Dean Shigenaga: Sure, the projects typically are always accretive both development and redevelopment side. The difference between the churn on your investment and the capitalization on your investment I think is what you're getting at, and there is a positive spread on each of the projects.
Quentin Velleley - Citi: Even with the planned lease up upon delivery and the timing of those deliveries for 2010, I'm saying?
Dean Shigenaga: No, every asset that is delivered with cash flows will generate a spread to FFO. Meaning the capitalization obviously is embedded in FFO and your yield on your space as you deliver it, I can't think of a circumstance at the moment, where it's short of the contribution to FFO while it is under construction. So yes, in every circumstance, as it's delivered and placed into service, you'll see a positive spread and a boost to FFO.
Quentin Velleley - Citi: And have you given any guidance, specific numbers behind what that estimate is for 2010, just on the development deliveries?
Dean Shigenaga: I haven't broken it down quarter-to-quarter, but I can tell you the development pipeline in total, upon stabilization, will probably generate something north of $45 million of NOI. The redevelopments could generate probably somewhere around low $20 million of NOI contribution. That's an aggregate upon delivery of all the product.
Operator: The next question comes from Sheila McGrath from KBW.
Sheila McGrath - KBW: Most of my questions have been answered. But, Joel, maybe you could just touch quickly on the entitlement in Cambridge. Do you think that you will be selling land parcels there? And aside from that, when do you think we'll see some activity? Is that a really long-term project, or do you think something will happen there within the next 12 months?
Joel Marcus: So we have obviously, five buildings, a total of about 1.7 million square feet along the East Cambridge, Binney Street corridor. There is one of the parcels which is at 225 Binney, which could build about 338,000 square feet isn't immediately connected. It's kind of separated by a full street, and set of buildings. That could be one that could easily be sold if a user wanted it. It also is in an area where there are a number of datacenters. So that's been an area of interest for us potentially. I think the others cluster very, very well, nicely, and they're all kind of adjoining, almost kitty-corner across the single intersection. As I said, we have ongoing discussions with a number of users. And I would say this is not particularly long-term. And we're also working on, pretty intensively, on site planning and design of each of the buildings, so that if we have a tenant, we'll be ready to go sooner than if we started from scratch. So I would say, yes, they're more in the short-to-medium term than the long-term push.
Sheila McGrath - KBW: And you don't envision selling any of the land there?
Joel Marcus: Well, the one in 225 Binney, which is separate from the cluster of the other four buildings, which is 338,000 square feet of entitlement, that would be one. We haven't put it up for sale. And we had some discussion. That would be one that could easily be carved off. We don't currently have any instant plan. So like market it like that, but in talking to potential tenants, if somebody was interested, we clearly would look at that as an alternative for sure.
Sheila McGrath - KBW: And then on East River, stabilization is still kind of targeted by first quarter 2011? Is that right?
Joel Marcus: Well, I think originally, our internal numbers were three years from opening, which is September. But I think we're probably two years ahead of that. So I would say it'll be delivered sequentially as tenants take down space. But it'll be through probably the end of this year and through the first quarter or two of 2011. But Lilly will start to move in next month. And the restaurant will, the conference center will, we've got the first small tenant on our two lab space, or as will. And then I've given you kind of an update on where we are on other negotiations. And most of the negotiations on the two floors of built-up space, the larger one is shelf space, so we could deliver that pretty quickly on other larger space. So the answer is yes, with luck, we may be able to do it even sooner than we're planning.
Operator: The next question comes from Will Marks from JMP Securities.
Will Marks - JMP Securities: You had talked about some income from developments. Can you clarify that a little bit, and over what time period is that? And I think you gave the segments of the development that it refers to?
Joel Marcus: Was that the discussion on on-campus or off-campus university and institutional discussions?
Will Marks - JMP Securities: It was a couple of questions ago, you gave a $20 million NOI line for one and…
Dean Shigenaga: Sorry, Will, that was my comment. What I was referring to was when I think Quentin had asked the question about NOI contribution from developments and redevelopments. What I was referencing on the north of $20 million was NOI contribution estimates for the entire redevelopment program, or the assets that are under redevelopment today.
Will Marks - JMP Securities: Okay, and just efforts to value that or show some sort of just kind of value. Any other data you got, Joel, you mentioned briefly about land. Hopefully, there will be some data points soon. Is there anything else that you can help us with or provide us with that would help value the property that is not yet generating rent, such as asset trades?
Joel Marcus: On our anticipated land sales, Will?
Will Marks - JMP Securities: Yes, either anticipated land sales, or just deals that you've heard of in the market, properties that have traded hands and if you can provide any cap rate information. I know they have a lot.
Dean Shigenaga: Yes, not that I would say that are comparable to the average asset or property in our portfolio today. And that's why our comment earlier about the future sales of a few of our parcels being significant with significant gains will, I think provide a real nice data point, real relevant to our landholdings. And hopefully help the investment community make reasonable and conservative assumptions to value our landholdings. But on these stabilized side, we haven't seen anything that would be a real good comp recently.
Operator: The next question comes from John Stewart from Green Street Advisors.
John Stewart - Green Street Advisors: Can you please give us a quick update on your international operations and plans?
Joel Marcus: I would say we're really more focused domestically. We have a building in South China that we are getting very close to completing, that will go to market either for lease or for sale probably, this quarter, which is third quarter. And we will probably extricate ourselves from that location. And then we have two buildings that we are working on, probably getting close over the next couple of quarters to finishing shell completion and we have negotiations ongoing with several tenants to take space in those buildings and that's in northern China. Beyond that I would say, at this point we don't have anything material going on.
John Stewart - Green Street Advisors: How about in India?
Joel Marcus: Well, we're working to look at opportunities in India, but India is a long term opportunity set that we are interested in all of Asia actually. But, I'd say at this point nothing material to report.
John Stewart - Green Street Advisors: Are there any plans to replace Jim Richardson at any point?
Joel Marcus: He's already been replaced, but he's actually very actively working with the company in a number of ways, so he's very hands on. But Peter Moglia has actually stepped into his duties and responsibilities as Chief Investment Officer.
Dean Shigenaga: Keep in mind, Jim is still on our Board of Directors, he's still a member of the Board. And he is still a consultant to the company.
Joel Marcus: I probably talk to him every single day.
Operator: Sir, at this time, we have no further questions.
Joel Marcus: Okay, thank you very much. We look forward to talking to you late October. Thanks again, everybody. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!